Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Textron Second Quarter Earnings Call 2021. At t this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to our host, Mr. Eric Salander, Vice President of Investor Relations. Please go ahead, sir.
Eric Salander: Thanks, Tony. And good morning, everyone. Before we begin, I'd like to mention we will be discussing future estimates and expectations during our call today. These forward-looking statements are subject to various risk factors, which are detailed in our SEC filings and also in today's press release. On the call today, we have Scott Donnelly, Textron's Chairman and CEO; and Frank Connor, our Chief Financial Officer. Our earnings call presentation can be found in the Investor Relations section of our website. Revenues in the quarter were $3.2 billion, up from $2.5 billion in last year's second quarter. During this year's second quarter, we reported net income of $0.81 per share. Adjusted net income, a non-GAAP measure, was also $0.81 per share for the second quarter of 2021 compared to $0.13 per share in the second quarter of 2020. Segment profit in the quarter was $289 million, up from $82 million in the second quarter of 2020. Manufacturing cash flow before pension contributions totaled $509 million, up $294 million from last year's second quarter. With that, I'll turn the call over to Scott. .
Scott Donnelly: Thanks, Eric. And good morning, everyone. We had a strong second quarter with higher revenues across all of our manufacturing segments, operating margins of 9.1% and strong cash generation. The Bell revenues were up in the quarter on higher commercial revenues, partially offset by lower military revenues. On the commercial side of Bell, we delivered 47 helicopters, up from 27 in last year's second quarter. We continue to see strong commercial demand and solid order activity in the quarter across all our commercial models, both domestically and internationally and across multiple end-markets, including corporate, private, utility and EMS. Moving to future vertical lift, in June following 214 flight hours over 3 years, Bell retired the V-280 Valor demonstrator aircraft. Over this 3 year period, the Valor successfully demonstrated all key performance parameters with FLRAA [ph] program, including low-speed agility, long-range crews, 305 knot high-speed flights, autonomous flight and rapid mission systems integration. On July 6th, the Army issued [ph] the FLRAA RFP. The program remains on track to the Army schedule with bids due in September, followed by down selected award in the second quarter of 2022. On FARA, Bell is about 45% of the way through its build of a 360 Invictus prototype. And lastly, Bell announced plans for new systems integration lab in Arlington to provide integration, verification and validation testing on aircraft emission systems needed to meet the requirements for both FPL programs. Moving to Textron Systems. We saw another strong quarter - execution with operating margins of 14.4%, up 310 basis points from last quarter. We saw a strong performance at ATAC driven by increased flight activity, led by our F1 fleet on the U.S. Air Force cash program, where we have made significant investments over the last few years. In June, C Systems [ph] delivered the third Ship to Shore Connector, LCAC 100 to the U.S. Navy. As development contract portion of this program continues to wind down through the remainder of 2021, we expect to see revenue growth and margin expansion on the program as we increase our activity on the production contract. Also in the quarter, Land Systems delivered the fourth and final RIPSAW M5 vehicle to the U.S. Army for RCV medium program. The customer will begin integration and testing the vehicles in preparation for the 2022 Soldier Operational Experiment. Land Systems also unveiled the Cottonmouth, vehicle purpose built for U.S. Marine Corps' Advanced Reconnaissance Vehicle program and was recently selected for further prototype development under an anticipated OTA contract award. Offsetting higher revenues in most of its operating units in the quarter, we did experienced some top line pressure at Air Systems largely related to the reduction in hours or fee-for-service activities due to the U.S. Army's Afghanistan withdrawal and impact of the sale of the TRU Simulation business earlier this year. At Aviation, revenues were up in the quarter on higher volumes for Citation jets and commercial turboprops, as well as in our aftermarket business. We delivered 44 jets, up from 23 last year, and 33 commercial turboprops, up from 15 in last year's second quarter. We continue to see strong commercial demand and order activity for our aircraft, which resulted in backlog growth of $689 million to $2.7 billion at quarter end. Through the first half of the year, we recorded over $1.1 billion of backlog growth in Aviation. Both the Citation Longitude and Citation CJ4 Gen2 received the EASA type certification in the quarter. These certifications are expected to generate additional demand opportunities for each of these models. On the new product front, Cessna SkyCourier [ph] aircraft certification program has now accumulated over 1,200 flight hours and continues to progress well, as we work towards entering the service targeted for later this year. Moving to Industrial. Revenues and margins were up at both Caltex and specialized vehicles from last year's second quarter, primarily due to higher volume and mix at each of the businesses. At Caltex, despite the higher revenues, we've experienced order disruptions related to the global auto OEM supply chain shortages, which have directly impacted our production scheduling, resulting in intermittent line shutdowns and manufacturing efficiencies. At Specialized Vehicles, we saw higher revenues and improved operating performance from a strong retail pricing environment, driven by continued high customer demand in our end markets. While we've experienced continued strong retail demand for our products, we have been impacted by our supply chain's ability to fully meet this demand, and we continue to work through these production challenges. In summary, we continue to see increased commercial order flow at Aviation and Bell, solid execution in our Military businesses, strong retail demand for our products, the Industrial segment and improved cash generation that all contributed to the second quarter performance and our improved EPS and cash outlook. With that, I'll turn the call over to Frank.
Frank Connor: Thanks, Scott. And good morning, everyone. Let's review how each of the segments contributed, starting with Textron Aviation. Revenues at Textron Aviation of $1.2 billion were up $414 million from a year ago, largely due to higher Citation jet volume of $174 million, aftermarket volume of $98 million and commercial turboprop volume of $75 million. Segment profit was $96 million in the second quarter, up $162 million from last year's second quarter due to the higher volume and mix of $117 million, a favorable impact from performance of $34 million and favorable pricing net of inflation of $11 million. Backlog in the segment ended the quarter at $2.7 billion. Moving to Bell. Revenues were $891 million, up $69 million from last year on higher commercial revenues of $99 million, partially offset by lower military revenues. Segment profit of $110 million was down $8 million, primarily due to higher research and development costs in the quarter, largely related to the future vertical lift programs. Backlog in the segment ended the quarter at $4.8 billion. At Textron Systems, revenues were $333 million, up $7 million from a year ago. Segment profit of $48 million was up $11 million due to a favorable impact from performance. Backlog in the segment ended the quarter at $2.3 billion. Industrial revenues of $794 million were up $232 million from last year with $169 million from fuel systems and functional components and $63 million from specialized vehicles, largely reflecting higher volume and mix. Segment profit was $32 million, up $43 million from the second quarter of 2020, primarily due to the higher volume and mix at each of the businesses. Finance segment revenues were $12 million and profit was $3 million. Moving below segment profit. Corporate expenses were $37 million and interest expense was $32 million. With respect to our 2020 restructuring plan, we recorded a pretax charge of $4 million on the special charges line. We had another strong quarter of cash generation, reflecting our focus on working capital management across the segments and cash deposits from strong order activity at Aviation. Our manufacturing cash flow before pension contributions was $509 million, $294 million higher than last year's second quarter. In the quarter, we repurchased approximately 3 million shares, returning $96 million in cash to shareholders, and we repaid at par $250 million of 5.95% notes with a stated maturity of September 2021. Following these activities, we ended the second quarter with approximately $2.2 billion of cash on the balance sheet. To wrap up, we now expect our full year tax rate to be 16%, reflecting increased tax credits related to higher qualifying domestic investments in R&D. We are raising our expected full year guidance for adjusted EPS to a range of $3 to $3.20 per share, up $0.20 from our prior outlook. We're also raising our outlook for manufacturing cash flow before pension contributions to a range of $800 million to $900 million, up $200 million from our prior outlook, with planned pension contributions of $50 million. That concludes our prepared remarks. So operator, we can open the line for questions.
Operator: Thank you. Our first question comes from the line of Sheila Kahyaoglu with Jefferies. Please go ahead.
Sheila Kahyaoglu: [Technical Difficulty] of 1.6 times in the quarter. I guess, Scott, what are you hearing from your customers? How do you think about the sustainability of this growth? And do you think there's any change in consumer behavior?
Scott Donnelly: Sheila, I think you know, we had a strong order quarter for sure. I think the Q will come out, you'll see that we had - services was about - aftermarket was about 31%. And when you account for that and you account for used aircraft sale, our book-to-bill actually probably is closer to two, in terms of new equipment. That order activity continues to be strong here as we've gone through the end of the quarter. So I think, you know, the sustainability appears to be quite strong, as we've seen through the course of the year. We have an awful lot of new customers coming into the market, which I think is great. We've got very low used aircraft at all [ph] for sale. I mean, it's sort at record low levels, so people that are coming into the market, there's not a whole lot to be had out there in terms of quality you know, relatively new, used aircraft, and that's driving a lot of strength in the new side. I think from everything we're seeing, it appears to be quite sustainable. The demand is there flying. If you look to that is, is at the highest levels we've seen in a very long time in terms of daily utilization. So I think demand, if you look at sort of the macro level, everything from charter to club to fractional the whole ownership is very strong. It's very US-centric in terms of jet right now, although we're starting to see some pickup in the South American and European markets, particularly on the turboprop side, we're starting to see more activity in South America. As you know, that those international markets tend to be the dominant part of our turboprop market, they haven't been just because they're a little slower. So I think when you look at the demand that we're seeing and then you start thinking about South America and the European markets, starting to come back. And frankly, just corporate. We're - I think we're talking about a lot of high net worth individuals, small businesses, things like that are really driving it so far. And the addition, I think as we go further into the year and start to see more corporate activity will help to make it a sustainable demand environment.
Sheila Kahyaoglu: Thanks for that color. And then maybe one more on Bell, as you mentioned it in your prepared remarks about the R&D impact. Is that more on FARA or FLRAA? And kind of how do we think about that progression of company funded R&D?
Scott Donnelly: Yeah. It's both. But FARA, frankly, at this point, is the bulk of it, although we're seeing obviously some pickup here on B&P spending, as we are preparing the FLRAA proposal. But this year, the lion share of it is around the FARA [ph] program, he's making great progress. As I said, we're progressing really well in terms of the design and the assembly of the first aircraft for the first flight test activity. But you'll see this composite of higher R&D spending associated principally with those FDL programs through 2022.
Sheila Kahyaoglu: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Peter Arment with Baird. Please go ahead.
Peter Arment: Hey. Yes, thanks. Good morning, Scott, Frank.
Scott Donnelly: Morning.
Peter Arment: Maybe Scott, just following up on your Aviation comments, just demand environment obviously sounds like it's really broad-based and across the board. I think the original plan was to kind of get back 50% of the recovery of your previous 2020 production plan. Just how are you thinking about that and managing it when you think about this environment?
Scott Donnelly: I think we're on track for that, Peter. And as we go into the end of the year, obviously, we've been raising our production rates, as we expected, did not only accomplish that this year. But as we kind of gave color around 2022 to get us back to those 2019 levels. So I think that's going well. And obviously, strong demand makes us feel pretty good about continuing to bring those rates up, as we go through this year and into 2022.
Peter Arment: Okay. And just as a quick follow-up on just the margin performance. I mean, I think year-to-date, you're kind of 7% versus guidance of 5.5%. So it's just the guidance increase that you're giving today. Obviously, just you forecasting at us [ph] continued strong margin performance at Aviation in the second half?
Scott Donnelly: Yeah, we are, Peter. I think the color on Aviation given the strength of the market, we're probably going to be guiding up a couple of $100 million of revenue is the way to think of it and probably a couple of 100 basis points of better margin.
Peter Arment: Terrific. Thanks so much, Scott.
Scott Donnelly: Sure.
Operator: Thank you. Our next question comes from the line of Pete Skibitski with Alembic Global. Please go ahead.
Pete Skibitski: Good morning, guys. Nice quarter. Scott, maybe to follow up on the UAV fee-for-service. As the U.S. continues to pull troops out of Afghanistan, and I think maybe even more out of Iraq. Maybe you can quantify how much of a headwind that program was in the quarter for you? And kind of how much were expecting it to be to negatively impact the full year?
Scott Donnelly: We don't go into that level of detail, probably, but just it's - I guess our point is that it is - we're seeing growth in a lot of the other pieces of that business and the Afghan issue is holding some of that back. I think the margin performance continues to be strong. And look, I think we're fairly optimistic that we'll redeploy those assets and utilize them in other applications, but that's probably something that will be more of a 2022 impact. It takes a while for that to happen. So I don't think - it's not a horrible story. It's just the reality of the pullback in Afghanistan. And I think we've been conservative in terms of how we manage those assets. The team has done a great job with that. So it's not a bottom line problem right now. And again, I do think a lot of those assets will get redeployed into other opportunities. But it is creating a little bit of a top line headwind. So when you look at systems, I think we're really happy with the performance there. We'll probably see margins a couple of 100 basis points better than what we originally we're guiding you guys, but we're not - we're probably just kind of on track to the revenue line because of some of the pressures on that Afghanistan pull out.
Pete Skibitski: Okay. Last one for me, also at Systems. They're bidding on some pretty meaningful ground vehicle programs, right, OMFV, on a team and the Marine Corps program. How do you guys ensure that you guys get an adequate return on those programs, especially OMFV, it's pretty - it's an order of magnitude bigger than I think most of the things they've done there. I think about the return you get just in light of - you know, the type of return you got in the TAPV program?
Scott Donnelly: Well, thanks, Peter. Look, these programs will not be structured in a way where you're taking on an EMD program and also committing the full life of production at a fixed price contract. So I get your point. I think the business learned a lot about that. And certainly, we would never put ourselves in a contracting situation where we had that kind of exposure. So look, these could be phenomenal programs. They can be great programs. I think our guys are - technically we're in a good place on some of them. I mean, there's a long way to go, obviously, on things like OMFE [ph] But they are huge opportunities, and it's going to take some time for them to come to fruition. But yeah, certainly, we're not going to look at a contract situation where we have the kind of exposure that we had on TAPV.
Pete Skibitski: Sounds, great. Thanks, guys.
Operator: Thank you. Our next question comes from the line of Carter Copeland with Melius Research. Please go ahead.
Carter Copeland: Hey. Good morning, guys.
Scott Donnelly: Morning.
Carter Copeland: Just two quick ones. One, Scott, I wondered specifically, if you could just speak to what you saw or what you continue to see in terms of trade in activity, just given the used inventory dynamic that you talked about, what you're seeing in that regard? And then a second one for Frank on the performance in ATAC and Systems, was there anything sort of one-time in nature in that regard that we should be aware of? Or anything we should think about in that regard? Thanks.
Scott Donnelly: Look, on the used, our activities reflect what's going on in the market, right. So I think our used aircraft inventory is quite low. Aircraft have largely sold out of our book. The need for trade in is down dramatically. As you guys know, we do run what we call Market Assist program. So we'll help customers with the resale of their aircraft ideally not even ever putting it onto our book, and we continue to try to do that. And you know, frankly, as the backlog builds and that time, that frame, from someone deciding to buy a new aircraft, they have a much longer window for the remarketing of their aircraft than what we saw when there was a lesser backlog and shorter cycle sale. So I would say that the dynamic of the used aircraft has been reflected in our own used aircraft department, and it's, I would say, all positive.
Frank Connor: So on the Systems mix, no, there was nothing kind of unusual in the quarter. Overall consolidated net program reviews were a positive $15 million. And I think it just, again, reflects, as Scott said, strong performance across the Systems businesses and the expectation of a couple of 100 basis points better than what our original guide was for the year.
Carter Copeland: Okay, great. Thanks for the color, gents.
Scott Donnelly: Yeah.
Operator: Thank you. The next question comes from the line of Ron Epstein with Bank of America. Please go ahead.
Ron Epstein: Hey. Good morning, guys.
Scott Donnelly: Good morning.
Ron Epstein: Scott, could you give us a little bit of a breakdown on maybe the customer demographic. I mean, how much of it is wealthy individuals versus corporates? Who are you seeing coming back to the market?
Scott Donnelly: I don't know if we can give a super big break down numbers. But as I said, it was - it's largely driven by - when we talk about high net worth individuals, these are usually folks that have family businesses, small businesses, private companies, which is the core of our - historically, the core of our customer base. And I think that's where a lot of demand is coming in. As you look at a larger way, particularly with the longitude out there and the latitude, where we have products that have a stronger appeal, we think, to the corporates. Those folks are just starting to come back. And as corporate aviation departments start to fly more, I think we'll see more activity, particularly in those classes of aircraft in that corporate world. But in the meantime, it is that customer base that we've historically seen. You're just seeing new customers of that same demographic, I guess, as you refer to it, you know, that are coming into the market.
Ron Epstein: Got it, got it. And then your cash levels are relatively high versus history, pre-COVID, call it, you know, PC. Are you still interested in industry consolidation? I mean, how are you thinking about deploying that capital?
Scott Donnelly: Well, look, at this point, Ron, we're - we kind of watch opportunities, as we always do. I don't think there's anything pending. We'll certainly let you guys know when that happens. But in the meantime, we continue to allocate the bulk of our cash into stock buyback, and I think we'll continue to do that. As Frank said, we made a couple of debt payments here in the quarter. We don't have any more corporate payments until the 2024 time frame. So I think we have a lot of flexibility around cash. But at this point, our principal allocation of that is towards share buyback.
Ron Epstein: Great. Thank you very much.
Scott Donnelly: Sure.
Operator: Thank you. Our next question comes from the line of Noah Poponak with Goldman. Please go ahead.
Noah Poponak: Hi. Good morning, everybody.
Scott Donnelly: Good morning, Noah.
Noah Poponak: Questions on the guidance revisions. In order to get into the middle of the new EPS range, EPS in the third and fourth quarter would have to be essentially exactly flat from the second quarter, actually technically down slightly. And seasonally, the business usually ramps through the year and you have end markets that are improving through the year. So if you could just walk me through how that happens. And then the earnings raise is - looks like $45 million, $50 million of net income, and then you've taken the free cash up $200 million, if you could just bridge that difference?
Scott Donnelly: I'm not sure how much detailed modeling I can go with you on the call. But look, I think we are seeing a little bit of linearity. As you guys know, when we came through the COVID period. Obviously, there was a lot of inventory reductions across the company. We're trying to be more linear in how we do that. I mean, I think Aviation is a good example. We're not having some of the historical where you get this big inventory build through the first couple of year - you know, quarters and most leads off on three and four. We're seeing a little more linearity, a stronger delivery here in Q2. And that's helping to give us a more linear - better manage working capital, I would say. So in terms of the modeling around EPS, you know, that kind of helped a little bit here is think about Aviation being up a couple of $100 million on revenue and a couple of 100 basis points of better margin versus the guide. Systems, a couple $100 million - I'm sorry, a couple of 100 basis points of better margin versus our initial guide. I don't think Bell's - Bell's about where we expect it to be. They're performing well, but they're performing more or less to the guide. And I think Industrial will probably be around in that same area, right. I mean, I would like to thought we had some upside. We probably are going to be a little bit softer just because of the challenges on some of the supply chain. But again, strong performance, certainly on year-over-year revenues margins are up. But it's a little more challenged in terms of capitalizing on some of that end market demand, but the opportunities are there, so.
Noah Poponak: Okay. I understand. And Scott, your response earlier to the question around the prior Cessna jet production plan, recovering half of the '20 decline and then getting back to '19 and '22. It sounds like you're sort of just reiterating that, despite the strength in the market. And maybe that's just because it's been strong, but for a short - relatively short period of time, you want to see that sustained, you don't want to get ahead of yourself. But I wondered also how much of that is that you're looking at pricing over volumes. And you had the experience of having to reduce price and then changing the strategy to hold firm on price, instead of chasing volume. And I wonder if you could just speak to how you'll handle that now that the market is stronger. Can we expect a bigger focus on price over volume even as demand increases? Or how are you going to handle that?
Scott Donnelly: It's a good question. And I do think that part of the dynamic here is that, as you know, we've gone through a very long period of time where book-to-bill was just - the backlog just wasn't strong enough to support, let's say, a 6 to 9 month order delivery window. There was too much short cycle sale going on, as it's particularly challenging for the factory to do that, to load things the right way, to not have rework when people buy on short cycle and you're reconfiguring and tailoring the aircraft too late in that manufacturing cycle. So there's no doubt that this business - I think this industry is healthier when you've got more like a 6 to 9 month backlog. And it gives you better visibility. It's - I think it's better for the customer in the end in terms of the ability to customize and again the configuration of the aircraft straight. So that's a lot of what we look at. So obviously, we are increasing the volume consistent with what our expectations were for the year. And obviously, you're feeling good about that, you know, increased rate as we go into next year given the backlog. But for sure, we want to be cautious here and not increase volume and get back to a situation where you just got too much short cycle sales going on.
Noah Poponak: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of David Strauss with Barclays. Please go ahead.
David Strauss: Thanks, good morning.
Scott Donnelly: Good morning.
David Strauss: Scott, on Cessna Aviation, can you talk about where headcount levels are? Have you started to add back where you think headcount needs to go and whether you're you know, any - seeing any challenges in terms of getting the workforce that you need?
Scott Donnelly: So we are increasing headcount you know, commensurate with the increase in the production volume as we've gone through the year. We started hiring programs probably about a month or so ago to bring folks in to ramp back up again. Obviously, a number of those folks or people that have been laid off and have come back into the company. But we're having to do additional hiring beyond that. And look, it's - I think everybody in the country is having the same challenge with some of the programs that are out there, but those programs should wind down as we get, I think, into that Labor Day time frame. So we are hiring. It is a challenge. I think hiring will get easier as the year goes on, we get off some of these unemployment programs that are frankly, creating huge disincentives for people not to work.
David Strauss: Okay. And I guess a bigger picture question on Kautex. Can you talk about how Kautex will play in a EV world or as EV penetration continues to pick up in the future? How that business - the potential for that business to transform itself and participate in that? Thanks.
Scott Donnelly: Sure. Sure. Look, there is two steps to this EV world in Kautex. The first, which we're already participating on. And frankly, it's a very good business for us is the move from straight gas to the - a lot of the hybrid vehicles, right. So the fuel systems have some unique technologies for those hybrid applications, and we've done well in that space. And the volume of that, frankly, continues to grow. And it's growing even faster now sort of post-COVID than even it was on pre-COVID. So our participation on those platforms is very good and a good part of our business and growing part of the business. On a pure BEV world, I think that we will see a transition just as we saw, frankly, Kautex became Kautex because you moved from metal gas tanks to plastic or composite gas tanks. And we think the same opportunity is there for battery enclosures. And we're working with a lot of the OEMs right now on opportunities to move from these metal battery and closure systems to a composite closure system. It's lower weight. It's lower cost. So it's very beneficial to the OEM and to the platform, and we're working through qualifications of those technologies as we speak.
David Strauss: Great. Appreciate the color. Thanks.
Scott Donnelly: Sure.
Operator: Thank you. Our next question comes from the line of Seth Seifman with JPMorgan. Please go ahead.
Seth Seifman: Hey. Thanks very much. And good morning. I wonder, Scott, if you could talk a little bit more about the aftermarket in Aviation. It sounds like it was up about over 30% in the quarter, we see really high activity. Is that something where it's still accelerating as we head into the back of the year? And what kind of growth do you expect for 2021 there?
Scott Donnelly: Yeah, it is. It's up around that number on a year-over-year basis. It's up about double-digit on a sequential basis. So what's happening, Seth, is, as I referenced, the utilization of the aircraft is up as high as we've seen it in a long time. So people are flying, the aircraft are being utilized. And that obviously correlates to service and parts consumption. So we have seen it ramping up nicely, as aircraft have gone back into service, and we do expect it to continue to grow through the balance of the year.
Seth Seifman: Okay. Okay. And then just, I heard your comments earlier, the focus on share repurchases for now, which makes sense. When you think about opportunities for M&A, do you think at all about the Defense side of the business, and we see this major focus at the Pentagon on JADC2. And is there a need to - in terms of thinking about the future of the Defense business to be more focused on communications technology and might that at some point become an area for M&A?
Scott Donnelly: Well, look, I think - I guess I would say broadly, Seth, that the A&D space is primarily where we look on the M&A side. I guess I wouldn't talk about any specific technology or obviously a particular opportunity. But that is the space where we tend to be to be looking. So - and from a cash standpoint, look, I think our balance sheet is in very good shape. We'll continue to do share buybacks. And if there was something out there that we needed to do. I think we have plenty of access cash on the balance sheet or financing through debt. So I think from a cash standpoint, we'll continue to do the buyback without being too concerned about our ability if we need to do M&A. But I would say that the - I won't talk specifically around communications, but certainly, the A&D space is where we look.
Seth Seifman: Okay, great. Thanks very much.
Operator: Thank you. Our next question comes from the line of Robert Stallard with Vertical Research. Please go ahead.
Robert Stallard: Thanks so much. Good morning.
Scott Donnelly: Good morning.
Robert Stallard: Scott, I just wanted to follow up on that comment you made earlier about the 6 to 9 month window for Aviation lead times. Are you actually in that window yet? Or is it still a little bit shorter than you would like?
Scott Donnelly: I think we're in that window.
Robert Stallard: Okay. That's nice and easy. And then secondly, again on Aviation, similar to Ron's question earlier, are you starting to see more interest from the fleet buyers? Or are you actually quite happy like going with these individual customers because generally you get better pricing on them?
Scott Donnelly: Well, our - I mean, our fleet sort of activity tends to be centered really around NetJets, obviously, which is very important customer for us, and I mean that's sort of the fleet. Obviously, at the NetJets sales level, that's individual customers buying share. So I - that's the bulk of what we look at on, I think what you would kind of call fleet. I mean, obviously, there's other opportunities out there where we have customers that want to buy numbers of aircraft. You probably saw the announcement around the Caravan deal. Obviously, we've had programs with SkyCourier, for instance, with FedEx, which are large aircraft acquisitions. But I don't think we've seen anything different or unique going on or the difference between fleet or retail and our bias one way or the other. If there's a good fleet opportunity, and that will compete hard for that. But the bulk of our sales, when you look at this you know, the order book and what's going on our individual aircraft sales.
Robert Stallard: Right. That makes sense. Okay. Thanks so much.
Operator: Thank you. Our next question comes from the line of George Shapiro with Shapiro Research. Please go ahead.
George Shapiro: Good morning. Scott, I want to pursue, you said that you have - you're comfortable with getting jet deliveries halfway back from the last couple of years. But that would imply like if it's 165 or 170, not much of an increase in Q3 or Q4. And usually, Q3 is kind of maybe a little bit better than Q2, but Q4 is usually at least 20 airplanes above the prior quarters, which should suggest that deliveries should get back more to like 180 or 190. So I'm just curious as to where my math is wrong.
Scott Donnelly: Yeah, George. I would say that if you look at what we're trying to do, and I kind of refer to this earlier. We're trying to get to a much more linear delivery flow. So when you look at, again, considering the demand environment, we're able to flow this thing in a lot smoother fashion. The order book, the backlog supports that so that we don't have this extreme spike when you get into fourth quarter, which has been delivered by or driven historically by later sales in the year. So I think when you look at the order book, what's happening is you're getting a more linear operation, you're getting a lot more backlog, longer lead time on aircraft and that lets us be a lot more linear in terms of our deliveries through the course of the year.
George Shapiro: Okay. So you're obviously not expecting that big bounce in the fourth quarter like we've traditionally seen?
Scott Donnelly: No, George. Look, I think it's always a little bit stronger in the rest of the year, but nowhere near as non-linear as you've seen for the last decade for instance...
George Shapiro: And given - Scott, given the backlog that you're seeing now, do deliveries next year get above the 2019 level?
Scott Donnelly: We're probably not quite ready to guide next year, but it's certainly you know, as I - we can't give you any filler [ph] or we're trying to aim to get that back into that 2019 range. Is it [indiscernible] few aircraft we'll probably give that guidance in January.
George Shapiro: And could you tell us what percent of the orders this quarter were to NetJets or other fleet providers?
Scott Donnelly: No, we don't break that down, George.
George Shapiro: Okay. I figured, I'd try. Thanks.
Scott Donnelly: I was really close to giving you to you by serial number, but…
George Shapiro: Okay. Thanks.
Operator: Thank you. Our next question comes from the line of Cai von Rumohr with Cowen. Please go ahead.
Cai von Rumohr: Yes. Thanks a lot. And good results, guys. So could you comment a little bit about pricing at both Bell and Aviation? And kind of if you get the good orders and better pricing, I mean, I assume that would start to show up more in the next couple of quarters?
Scott Donnelly: Well, yeah. I mean, you'll see in the Q, Cai, that when you look at Aviation, particular dollar pricing, probably $11 million net of inflation. So again, I think the pricing environment is certainly stronger than it has been, and we'll continue to press on that. I mean, we - there's no doubt we feel like the margins in this business need to be better and volume and productivity and efficiency are all part of it, but prices has to be part of that as well. So - and we don't usually get into any kind of price discussion around Bell, so I don't think we need to do that. But I would suffice to say that we're pleased with the commercial side of the business, the order activity, much like what we've been talking about on the Textron Aviation side of things is strong.
Cai von Rumohr: Got it. And so I was a little surprised by the vigor of the margins at Bell, given that most of the volume came from commercial where the margins tend to be lower, and the R&D was still strong. Can you give us some color are the margin is going to be level or as we go on with the R&D for FARA and FLRAA, could there be more margin pressure?
Scott Donnelly: Well, I mean, we did put, obviously, the pressures of increased R&D spending in the FEL programs into our guide. And I think we're pretty comfortable that we're on track to hit that guide even with those R&D pressures.
Cai von Rumohr: Excellent. Thank you very much.
Scott Donnelly: Sure.
Operator: Thank you. Our next question comes from the line of Kristine Liwag with Morgan Stanley. Please go ahead.
Kristine Liwag: Hi. Good morning, everyone.
Scott Donnelly: Good morning.
Kristine Liwag: Thanks. Scott, following up on your comments in Aviation, if you're in that 6 months backlog window right now, if we continue to see a strong order activity. Can we see bring forward some of this volume in 2021 and accelerate production?
Scott Donnelly: The lead times of the aircraft make it difficult to have much movement. I mean, you can always do an aircraft or two depending on what that demand looks like. But inside of 6 months, it's pretty hard to adjust that, just given the long cycle nature of particularly some of our supplier components.
Kristine Liwag: I see. So if we see this order activity, let's say, book-to-bill is strong for the rest of the year, that's really more of a 2022 story then?
Scott Donnelly: Yes, that's correct. Yeah, we would incorporate that production ramp into what would end up being 2022 deliveries for sure.
Kristine Liwag: Great. And then also on aftermarket, you mentioned, right, we're seeing strong bridge jet utilization. Also, we see that with takeoff and landing at a 12 year high. How much of a pricing upside do you have in aftermarket? And how do we think about the margin differential between aftermarket and new aircraft deliveries in Aviation?
Scott Donnelly: Well, we don't break out those margins. I mean, but it's - the fact that we're seeing increased demand on the aftermarket side, in general, that tends to be a good margin business for us. And so it's generally a good mix, but I don't think there's a real material change and what that's doing for the business. It's highly dependent on, as you said, we're seeing at least in modern time, record levels of utilization, be a takeoff or landing cycles, average deal utilization, and that's going to continue to drive aftermarket growth, which is certainly good for the overall mix of the margin of the business.
Kristine Liwag: Thank you.
Eric Salander: Okay. Tony, I believe that's all the questions in the queue at this time.
Operator: Yes, that is correct.
Eric Salander: Okay. Could you announce the replay number?
Operator: Great. Thank you. Just one moment. Ladies and gentlemen, this conference will be available for replay beginning at 10 A.M. Eastern today. You can access the digitized replay information at any time by dialing 1866-207-1041 and enter access code 7854134. International participants may dial 402-970-0847. Those numbers again are 1866-207-1041 and 402-970-0847 with access code 7854134. That does conclude our conference for today. We thank you for your participation and for using AT&T Conferencing Service. You may now disconnect.